Operator: Ladies and gentlemen, thank you for standing by, and welcome to Keyera First Quarter 2020 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to your host today, Lavonne Zdunich, Director of Investor Relations. Please go ahead.
Lavonne Zdunich: Good morning everyone and thank you for joining us for Keyera’s first quarter conference call for 2020. Our speakers today will be David Smith, Chief Executive Officer; Dean Setoguchi, President and Chief Commercial Officer; Steven Kroeker, Senior Vice President and CFO; and Brad Lock, Senior Vice President and COO. I would like to remind listeners that some of the comments and answers that we will provide speak to future events. These forward-looking statements are given as of today's date and reflect events or outcomes that management currently expects. In addition, we will also refer to some non-GAAP financial measures. For additional information on non-GAAP measures and forward-looking statements, please refer to our public filings available on SEDAR and our website. With that, I will turn it over to David.
David Smith: Thank you, Lavonne, and good morning everyone. Thank you for joining us today. We hope that you and your families are staying safe and healthy during these challenging times. As we navigate these extraordinary circumstances, we are reminded of the fragility of life and the importance of health, safety and – the health, safety and wellbeing of our families, co-workers, employees and contractors, our customers and our stakeholders. It's not just our physical health that's at risk. It's our mental health as well. We are all affected and we need to take care of each other. From a business standpoint, it is difficult to predict the full scope and extent of the consequences of the COVID-19 pandemic. At Keyera, we are focusing on those things that are within our control and we have taken prudent steps to address short-term challenges and enhance the long-term success of the company. Our strong financial position allows us to ensure the stability and continuity of the business during this unprecedented economic situation. We have a strong balance sheet, two investment grade credit ratings and over $1.4 billion in undrawn capacity on our committed credit facility. To enhance Keyera’s competitive positioning in our gathering and processing business, we continue to advance our optimization plan in response to industry conditions. To date, we have announced plans to suspend operations at six of our gas plants. These have been difficult decisions as these plants have been part of the Keyera family for many years. However, these actions to optimize the portfolio will reduce costs and reduce greenhouse gas emissions, enhancing net backs for our customers and improving profitability for Keyera. To maintain our financial flexibility, we decided to defer construction of the KAPS pipeline system for approximately one year. This decision has reduced our 2020 growth capital program by approximately $250 million. In conjunction with our decision to defer KAPS, we suspended the dividend reinvestment program. And finally in parallel with our gathering and processing optimization plan and our reduced capital expenditure program, we are reviewing alternatives to further reduce our overall cost structure, including both operating costs and general and administrative expenses. With these actions we have taken and are taking, I am confident that we will navigate through this challenging time and emerge stronger, ready to capture opportunities as the industry recovers. Our strong first quarter financial results are an indication of the strength of our business model. We achieved record adjusted EBITDA of $327 million and record distributable cash flow of $253 million, or $1.16 cents per share. Our net earnings were $86 million or $0.39 per share. I will now turn it over to Brad to discuss our operations.
Brad Lock: Thank you, David. At Keyera, we remain committed to the highest standard of health safety performance and have taken the appropriate precautions to support the wellbeing of our employees and contractors as they continue to operate our facilities reliably. I would like to thank these frontline employees for their commitment to our values and for their diligence in working safely with one another. Overall, our employees continue to work from home where possible and we have measures in place at our facilities to limit the potential spread of COVID-19 and contingency plans in place to ensure that we can continue to operate safely and reliably. Over the past two months, our organization has risen to that challenge that the COVID-19 pandemic has presented. We have activated our corporate advisory team and it focused our efforts on three areas: pandemic response, business continuity and critical facility operations. I have seen exceptional work from our people over the past weeks and I want to recognize the efforts of our information technology team enabling a smooth transition to our staff working remotely; our facility operations and maintenance teams, who have helped ensure no operational interruptions that have occurred as a result of the pandemic; and our human resources and communications teams, who have been on the frontline since day one, supporting our employees and contractors and doing it with the care and compassion that Keyera is known for. These are just a few areas where we have excelled in our response and there are many more that I could mention. In the first quarter of 2020, we continue to progress our capital projects that are nearing completion and we'll begin to generate cash flow later this year. We have completed phase 2 of the Wapiti gas plant and expect to commission the plant in the fourth quarter to align with our customers’ needs. In Cushing, Oklahoma, construction continues at our Wildhorse crude oil storage and blending terminal and we remain on track to commission this facility in the second half of the year. With high demand for storage capacity, we look forward to bringing this terminal into service. At our Pipestone gas plant in the liquids rich Montney area of Alberta, construction is progressing very well. We now expect the plant to be operational and generating cash flows this fall. As a reminder, this gas plant provides Ovintiv's Pipestone develop – or supports Ovintiv's Pipestone development where they plan on commissioning the facility with existing regional volumes, which will grow as they develop their extensive land position. I will now pass it over to Dean to talk about our business outlooks for 2020.
Dean Setoguchi: Thanks, Brad. I want to echo Brad's comments about the exceptional work of our teams over the past few weeks and in particular I'd like to highlight the work of our KAPS team. In April, we announced this – with the support of our partners and customers, we would be deferring the construction of KAPS by approximately one year. As the COVID-19 situation continues to unfold, deferring caps allows us to reduce our 2020 capital program and improve our financial flexibility. This is a testament to the teamwork of all the stakeholders involved, the strong customer relationships, and a strong customer support for this project. At the end of April, we received our full AER regulatory approval for the entire KAPS pipe mainline. And with this significant milestone, we are on schedule to start up in the first half of 2023. As David mentioned, we have had a very strong start to the year with record results in several areas. I want to speak a bit too about our expectations looking forward for the remainder of the year. This is an unprecedented time and there are uncertainties that will continue to navigate our way through. In our gathering processing business, producers have announced significant reductions to the capital programs, which results in lower volumes through Keyera’s gas plants and lower operating margin than originally expected. We're working with our customers where appropriate to develop mutually beneficial solutions to help keep their volumes flowing in the short-term, typically in exchange for another form of value. For our liquids infrastructure business, we expect our results to be relatively resilient as our condensate business is supported by long-term take or pay contracts with creditworthy counterparties and demand for storage assets has increased as these assets provide valuable flexibility for our customers. Our fractionation utilization and revenue may be lower for the remainder of 2020 if drilling activity is significantly reduced or substantial production is shut-in. Within our marketing segment, we still expect realized margins for 2020 to range between $270 million and $310 million given the strength of our first quarter as well as our effective risk management strategy that protected the value of our inventory as commodity prices fell dramatically during the first quarter. With that, I'll turn it over to Steven to talk about our financial results.
Steven Kroeker: Thanks, Dean. Keyera achieved record results in the first quarter of 2020 with adjusted EBITDA of $327 million and distributable cash flow of $253 million, or $1.16 per share. Fee-for-service realized margin for the quarter was slightly ahead of that in the first quarter of 2019 and trailing 12 months fee-for-service realized margin increased slightly to $676 million. In the first quarter of 2020, the liquids infrastructure segment generated a record $102 million in operating margin due to increased demand for condensate transportation and storage. Meanwhile, the gathering and processing segment generated $64 million in operating margin in the first quarter, which was $4 million less than the same quarter last year and $16 million lower than the fourth quarter of 2019. The lower result in gathering and processing reflects lower industry activity and select fee relief behind various facilities as well as increased operating costs and lower throughput due to unscheduled repair work at the Wapiti plant that totaled four weeks. The marketing segment delivered operating margin of $246 million and realized margin of $165 million, largely due to higher contributions from iso-octane sales and an effective risk management strategy. The hedging strategy is aimed at protecting both inventory value and margin. As there is uncertainty as to when a recovery and energy demand and commodity prices may occur, Keyera remains focused on preserving its financial flexibility and maintaining a strong financial position. This includes the following: a strong balance sheet with net debt to adjusted EBITDA of 2.2x as of March 31st, 2020 including 50% of the subordinated hybrid notes as debt, a conservative payout ratio of 55% for the last 12 months, which is well within our long-term target range of between 50% and 70%, two investment grade corporate credit ratings, a $1.5 billion line of credit with only $70 million drawn as of March 31, 2020 and minimal long-term debt maturities in the next five years. With the decision to defer KAPS one year, we have reduced our growth capital for 2020 to a range of between $475 million and $525 million, down from a range of $700 million to $800 million. In April, we also suspended the regular and premium components of the dividend reinvestment plan effective with the May 2020 dividend. We felt this was a prudent step to preserve shareholder value. In 2020, our distributable cash flow per share is expected to benefit from significantly lower cash taxes and maintenance capital. We now expect the current income tax recovery of between $20 million and $30 million for the year compared to a $98 million cash tax expense in 2019 and we expect our 2020 maintenance capital to be between $30 million and $35 million, which is significantly lower than the $105 million incurred in 2019. With that, I'll turn it over to David.
David Smith: Thanks, Steven. Looking ahead, Keyera remains committed to operational excellence, focused on safe, reliable, and responsible operations. With our finances – with our strong financial position, we will continue to take a disciplined approach in the face of this uncertain business environment. The COVID-19 crisis is unprecedented and the situation remains challenging and unpredictable. However, we are cautiously optimistic that the worst is behind us. Driving demand appears to have already bottomed out and we'll be further supported by the gradual relaxation of stay at home policies. Significant volumes of oil supply are being shut-in around the world, helping to ease the strain on inventory levels and support crisis. In Canada, we've seen a recovery in the condensate pricing. And meanwhile natural gas prices in Alberta have remained firm throughout. I am confident that Keyera will successfully navigate the current challenges and strengthen our foundation to add shareholder value as the industry recovers. On behalf of Keyera's board of directors and management team, I would like to thank again our employees, customers, shareholders, and other stakeholders for your continued support. Please stay safe and healthy, take care of yourself and your loved ones and stay positive. With that, I'll turn it back to the operator. Please go ahead with questions.
Operator: Okay. [Operator Instructions] Your first question comes from Matt Taylor of Tudor, Pickering, Holt. Your line is open.
Matt Taylor: Yes, thanks for take my questions here. Starting off on AEF, you made some comments in the MD&A about weak iso-octane pricing and product premiums for 2020 and then one of your mid-stream peers talked about lower utilization expected from their octane enhancement business. So, as I'm looking at your expected marketing guidance there, I noticed AEF has continued or assumed to continue to operate in your capacity. Can you just speak to what market dynamics you're seeing there to keep utilization high while demand is down?
Dean Setoguchi: Sure, Matt. It's a Dean Setoguchi. We are continuing to run our AEF facility near capacity. Obviously, we've seen a little bit of a roller coaster ride over the last six weeks in RBOB prices going from minus two to plus 12, 13 – $12 to $13, so that's been very positive. And obviously, we're seeing a driving demand starting to increase as the lockdowns ease across North America and in the world as well. So, we've seen the steady demand for our product. The premiums aren't as strong as what we saw last year. But certainly there's demand for the product and we've been pretty open that we actually sell a lot of our products through Galena Park. And so, the Caribbean market has still been relatively strong for gasoline. And like I say, we're starting to see more demand pickup in North America now too.
Matt Taylor: Thanks, Dean. Just as a follow-up question. Can you frame how you've hedged the AEF business even if there is unexpected downside here for longer?
Steven Kroeker: Well, we – our hedges are more typically higher in the near months and they sort of fall off a bit more in the later months. So, again, we do have a bit of uncertainty as we get into the latter half of this year and into 2021. But again, those fundamentals are improving. So we're going to be looking to hedge in, in layers to protect our downside for that business and preserve margin.
Matt Taylor: Great. Thanks, Steven. And then one more on the dividends, leverage and payouts are in good shape here and – but as you layer on some downside risks to your G&P business and then start thinking about on hedge marketing in 2021, just – I guess two questions. Do you defer any more dividend growth in the near-term here to preserve future financial flexibility? And then second, would you be willing to continue deferring CapEx like KAPS to protect the dividends should these market conditions pursue?
David Smith: Hi, Matt. It's Dave here. I'll take that one. I think we continue to monitor the situation as we always do when we look at our dividend policy and our capital allocation. We have projects underway now that will all be completed – well, the material ones will be completed before the end of this year. And I think so we have a fair bit of flexibility at this point with respect to the timing and degree of capital – capital investment. And with respect to the dividend, I think it's fair to say we're going to be cautious in the current environment with respect to any future increases. We have a long track record of a gradual growth in the dividend per share, but in this environment I think we're going to be focused on making sure that the dividend is sustainable long-term. So I think it's probably prudent for us to take a pause with respect to growth – growth in the dividend per share. But these are things that we monitor quarter-to-quarter.
Matt Taylor: Okay. Thanks for that answer David. That's all for me.
Operator: And your next question will come from Patrick Kenny, National Bank Financial. Your line is open.
Patrick Kenny: Hey, guys. Just a follow-up on AEF here, you previously pushed back the turnaround from this fall into 2021. I was just curious if there was any thoughts to bring that back to 2020 just given the pullback in gasoline demand? Or is that just not feasible given some of the hedging positions you have in place?
Brad Lock: Hi, Pat. This is Brad. I think we continue to monitor the performance of AEF and we're happy with how it's performing right now. I think we're going to continue to look at a 2021 turnaround and are actually going to potentially consider pushing that out into future years if we can manage both the risk and the compliance requirements to go with that. So I don't think we have any, any desire to pull that forward into 2020 right now.
Patrick Kenny: Okay. Thanks, Brad. And then on the G&P side, perhaps maybe a bit more color on the comment around developing solutions with your customers that are mutually beneficial. Just wondering what that means to your processing agreements and near term cash flow outlook. And then also maybe a comment on whether or not the liquidity support being offered to the customers with the EDC loans. I mean, does that not relieve at least some of the pressure on you guys to renegotiate your existing fees?
Dean Setoguchi: Yes, Pat. It’s Dean. First of all, I mean, I think you have to look at our two different G&P gathering areas and processing areas and one is our central foothills. And as David mentioned, when you look at the outlook for natural gas, it's probably been as good as it has been in many years. And certainly with the reduction of production both oil and natural gas and across North America, we also think that NGLs are going to get tighter. So from a pricing perspective, we think in our central foothills area in conjunction with some of the operating cost reduction initiatives that we have underway, we think that that is looking more, more promising when we look out into the future. When you look at our Northern area, which is driven more by condensate economics, you have to remember that several weeks ago, I mean, condensate was trading at low single digit prices. And today they're trading $2, $3 off of WTI, which is in that US$23, US$24 range, so much different in a four or five, six week span. So again long story short, I mean, we worked – I mean this is a tremendous – this crisis is very significant. And so, we try to work with our customers through these short-term, what we believe is a shorter-term challenges. And so, we've provided some concessions on a very short-term basis. And we've asked for value in other ways. And that would be confidential that we – we’re not have liberty to share that. But that's generally our philosophy. We want to work with our customers, so that they're there for the long-term.
David Smith: Pat, it's Dave here. I'll just add a comment or two. I think what we're saying here is I think we're feeling a fair bit more positive about the outlook now than we were probably four or five weeks ago. With respect to your question around liquidity support from the government, I think that will certainly help. It's no secret that some of the companies that are customers of ours and a couple of these areas have balance sheets that are challenged. The other thing that I think is reasonable to expect is that we'll see some consolidation over the course of the next little while among the E&P companies. Specifically, we saw Spartan DELTA buying out the assets of Bellatrix. And for us, we think that's a positive step because Spartan DELTA starts out with a much stronger financial position than Bellatrix had. And I think to the extent that we see other transactions like that, that's – that will be positive for our business long-term.
Patrick Kenny: Got it. Thanks for that. And then if I could just finish off on KAPS. There's a disclaimer in the MD&A on the 10% to 15% return potentially falling below the low end of the range if things don't recover. Wondering if you could just provide maybe a floor return solely based on the take or pay obligations, which I believe work out to be just over 50% of the initial capacity of the system. And then also just – if things don't recover by say the latter half of 2021, would you not just defer KAPS again by another year? In other words, do you not only sanction the project if you see activity levels come back, which would in turn support the 10% to 15% return range? Or is that not the way to think about it?
Steven Kroeker: So, Pat, I mean, we worked very closely obviously to defer KAPS for a year when we announced that a couple of weeks ago and still tremendous support for the project. And again, our customers believe that competing NGL pipeline system is very, very valuable long-term for this basin in this industry. And so, when we get a year out, I guess, we'll have to see where the – what the outlook for the – for our basin looks like and where customers are. And from there we'll be able to make whatever the best decision is for both of us. So, I think, it's too early to sort of speculate what may or may not happen, but again, we'll work with our customers on that front.
Patrick Kenny: Okay, I'll leave it there. Thanks guys.
Operator: Your next question comes from Linda Ezergailis from TD Securities. Your line is open.
Linda Ezergailis: I'm wondering if you can maybe give us some sense of seasonality around your marketing business specifically you recorded an unrealized mark to market gain. Is it reasonable to assume that it will be booked or realized in Q2, the $81 million…
Steven Kroeker: There is a – as Dean pointed out before in our hedging program, we concentrate on the near months. And then as you go further out with a little bit less liquidity, we don't hedge – we don't hedge as much going further out. So, on a margin basis from hedging being used to protect margin, for example, the iso-octane business, that's the profile you would see. You would see more near-term affects there. And so then it's really just dependent upon on where RBOB and WTI and those kinds of variables move in the near-term. And then meanwhile, we also hedge our inventory. And so, again, a lot of the inventory is hedged on a month to month kind of rolling basis. And so again, you would see a bit more of a near-term impact on that depending on which way again WTI moves and other prices.
Linda Ezergailis: So is it reasonable to say that your confidence and reaffirming guidance is based on what you've already locked in and given that you hedge your inventory substantially, that significant losses are unlikely at this point?
Steven Kroeker: Yes, I mean, from our point of view and you've seen it in the past on our side, our hedging strategy with respect to inventory has generally proven to be very successful. You saw that in 2014. You saw that in 2018. You saw it this past quarter as well in that area.
Linda Ezergailis: Okay. And I'm wondering the rationale for deferring your plan for the 19th cavern. Was it a function of social distancing, wanting to defer any sort of capital outlay commitments or market conditions? And what factors would be required to resume plans on that?
Dean Setoguchi: Linda, it’s Dean. Given the uncertainty of where we are, I mean, we thought it was prudent to preserve capital at this point. So we decided to defer the 19th cavern. Obviously, demand looks relatively strong. We can resume the development of that cavern very easily. I mean, it's on our sites. We've developed a lot of caverns over the last number of years. So for now we've just – we just deferred it just given the environment that we're in and the uncertainty that we've seen.
Linda Ezergailis: Okay. Thank you. And just to clean up question on your cash tax outlook in 2021 and beyond, is it reasonable to assume that you won't be paying cash taxes for the foreseeable future? Or is it possible in – that you might enjoy some recovery in the next couple of years similar to this year?
Steven Kroeker: Yes, we're definitely pleased to see the recovery for this year. We don't generally give guidance on a go forward basis. I think I would just point you again to the disclosure and the fact that we have a continued suite of projects that are coming into service this year, which will again provide pools. So it leaves us in a pretty strong position.
Linda Ezergailis: Okay. Thank you. I'll jump back in the queue.
Operator: Your next question comes from Robert Catellier with CIBC Capital Markets. Your line is open.
Robert Catellier: Hi, good morning everyone. Just a couple of follow ups here. I wanted to start with the comments on the dividends? So, notwithstanding, the fact that you don't want to tempt fate, you're in a pretty good financial position and with the capital spend slowing down, the free cash flow position looks pretty good too. So my question to you is what do you need to see to resume a dividend growth? Is it just a general level of stability and a reduction of the uncertainty in the environment? Or is there something else you’re looking to on the financials?
David Smith: Thanks for the question, Rob. It's Dave here. It's hard to be specific. I mean, you know, every quarter we have a conversation with our board about the dividend and we take into account a whole bunch of factors as you can appreciate, our outlook for cash flow, our outlook for capital requirements, what we think the impact will be on balance sheet and all of those factors weigh into it. I think, ultimately, we never want to increase the dividend unless we’re confident that we can sustain it at that level. And so, I just think with the tremendous uncertainty that we're dealing with over the coming – over the coming months, we're probably going to be inclined to be a little bit more cautious. But it's hard to be specific about what the conditions would be that would – that would cause us to change that stance. I think ultimately it's going to be determined by what we see as the level and the confidence that we have in our cash flows going forward.
Robert Catellier: Okay. So just the level of prudence appropriate for the current environment?
David Smith: Absolutely.
Robert Catellier: Okay. Then following up on just the cost reductions, I'm not thinking exclusively of the optimization plan, but just the G&A and the other OpEx. What's possible in terms of reducing OpEx and what impacts that might have on G&P margins for example?
David Smith: Rob, I don't think we're quite ready to be able to provide any kind of an indication on that question. We are going through further analysis right now on the strategy and the timing around the G&P optimization effort. I think I've suggested in the past that we would probably be in a position to provide a little bit more color on that with our Q2 release in August. We are in the midst right now of reviewing operating costs more generally across the portfolio, but it's premature to suggest what that might look like. And similarly with our G&A focus, I think it's a little bit premature to estimate what that might look like. On the G&A side, keeping in mind that we are reducing the size of the portfolio in the gathering and processing world and we are reducing our activity level in terms of capital projects. And so for those two reasons, we expect that the G&A support that's required is going to be reduced as well. But it's – as I say, it's a little early to estimate what that looks like.
Robert Catellier: Sure. Okay, I understand. And then just on the gathering and processing business, based on what you know today, what do you think is possible in terms of the depth of the decline in terms of operating margin and volumes? And what are you looking to in terms of green shoots that make you – might make you more confident that volumes and activity is normalizing? Is it still the condensate price? And if so, what levels do you think you need to see for a sustained recovery in volume and drilling activity?
Dean Setoguchi: Yes, Robert, I mean, certainly we can’t provide guidance in terms of our G&P business. And part of it is as if you – if you look at the customers behind our facilities or other facilities, they're reluctant to sort of provide a lot of future guidance on what the plans are. But certainly in the North portfolio, a lot of the economics there are driven off of condensate prices and natural gas prices certainly helped, but a lot of it's driven off of condensate. To be quite honest, when this all rolled out and we – that the system is not – is not built for a demand shock, like we just saw. Taking 25 million barrels of demand offline, it's just not something that has ever happened before. So, obviously, it creates a lot of havoc both physically and financially in the market. So what we were concerned about initially was that 225,000 barrels of condensate demand comes offline very, very quickly, where does that come from? Does that – does that physically shut-in people in the field once storage fills out? And with what we're seeing today, a lot of that supply has been cut off from the U.S. And there has been shut-ins in Alberta, in the Montney, but far, far, far less than what we're sort of prepared for. So from a shut-in perspective, we think that that risk is much lower because demand for gasoline is building in the mid-continent. Refining capacities or utilizations moved up from 65% to 73%. And hopefully, we'll see that continuing to grow. Condensate prices are firmed up as we've talked about. So it's sort of in that low 20s in U.S. dollar per barrel. And so with that, we have – we know that there's a number of producers that have production that where the wells have already been drilled. And they don't want to bring them on until they get a better price environment. So we think as condensate prices continue to improve, we'll see some of that that production that’s shut-in ready to flow. And whether that happens in Q3 or Q4, Q1, we can’t determine that at this point. Sorry for the long winded answer.
Robert Catellier: No, that's a very good detail and I appreciate the nuance of – really, it’s up to the customers at this point. Okay, thank you.
Operator: Your next question comes from Rob Hope with Scotiabank. Your line is open.
Rob Hope: Hello, everyone. Just to follow up on that last conversation. So arguably you probably have the best condensate information in the market, just given your existing assets. So when you've seen conde imports kind of declined in April when – what you've seen so far in May. Just want to confirm that do you think a big condense – the risk of the big condensate shock to the market is behind us. Just given that the U.S. imports have been down enough?
Dean Setoguchi: Yes, I mean, we certainly believe the worst is behind us. I mean, the estimates that we've seen is that there's roughly a million barrels of diluted bitumen offline right now. And then, so if you look at WCS diffs, which are $3-ish, at least as of yesterday, I haven't checked this morning, but I think that that signals that sort of supply demand has rebalanced and maybe overbalanced. And so as we see refining runs continue to increase in the Midwest, they're very dependent on their feedstock from Canada. So, again – so as that demand picks up, we'll see more oil sands come back online, production come online and it's going to require more diluents. So, again, we believe that it's going in the right direction, but we're cautiously optimistic. I mean, we don't know if another significant wave of COVID breaks out and everybody has to get locked down for weeks or months, those are all the uncertainties that we just have to be aware of.
Rob Hope: All right, thanks for that. And then actually another follow up question. Going back to the OpEx at the G&P business, I appreciate the earlier comments, but it was ticking up in Q1 versus Q4 of last year despite lower volumes. So, are there some one-time severance charges or one-time charges there associated with your rationalization plan and that moving forward we should see them starting to trend downwards?
Brad Lock: Rob, it’s Brad. I don't think there was anything significant in our – in the OpEx component. I think certainly as Wapiti continued to ramp up that would have contributed to some of the incremental operating costs. And certainly, we've – with some of the other activity that's going on out there, we've tried to manage those costs appropriately. So I don't think there's anything really significant in it, just more northern driven than anything else.
Rob Hope: Okay. And then I guess just on Wapiti, the outage costs whether – where they be flowing through there? Or was that merely a revenue impact?
Brad Lock: No, they would flow through there as well as – yes, the maintenance cost associated with the two outages.
Rob Hope: All right, thank you.
Operator: Your next question will come from Robert Kwan from RBC Capital Markets. Your line is open.
Robert Kwan: Hi. Good morning. I can start with G&P. So operating margin was down $17 million versus the fourth quarter. You referenced some of the Wapiti OpEx, but just even higher level, are you able to quantify what the Wapiti outage was, both revenue and OpEx? How much was attributable to lower volumes? And then how much was attributable to the fee reductions that you put through as of Jan 1st?
Steven Kroeker: Yes, we didn't – we chose not to go through that much detail. I think if you parse out that $16 million into equal buckets, you're probably in the ballpark in the range for that and again, not all would be recurring. I do – I would highlight that we do put on our website, the supplemental data, which shows you the throughput through Wapiti as well. And so again, if you normalize that for no outages, then you can again see continued performance on the Wapiti plant as well.
Robert Kwan: Okay. And just with the fee reductions that came in as of Jan 1, was that delivered to your customers in advance of some of the optimization activities like shutting off the six plants i.e. have you already delivered the lower fees and revenue but you haven't been able to strip the costs out yet?
Dean Setoguchi: Yes, that's right. We've renegotiated – we've negotiated maybe different fee structures where we felt we needed to. And again, typically we're trying to get longer term commitments out of that as well. But each deal is different and – but certainly independent of that, we are aiming to be uber competitive with our business and part of that is driving costs down.
Robert Kwan: Okay. So are you able to maybe quantify what that lag might look like or put differently, just how much OpEx is associated with the six plants are going to be taken offline through next year?
David Smith: Yes. Again Robert, I don't think we're quite ready to be able to provide any kind of indication of that.
Robert Kwan: Okay. Just on – finishing on G&P, are you able to talk about what the volumes going to the facilities are, kind of right now versus what was going through in Q1?
Dean Setoguchi: Yes, I think the data is published monthly by the AAR. So people can look there. I think we've been reasonably satisfied with volumes, though they continue to – they bounce around at times as producers continue to look at pricing. But I think we've been reasonably happy with how volumes have kind of stabilized over the last little while.
Robert Kwan: We're not going to get…
David Smith: Yes. Robert, maybe just let me jump in just to kind of try and clarify. I think we have been concerned about the possibility of shut-in production, particularly four or five weeks ago when condensate pricing and some of the uncertainty just caused a lot of consternation within the industry. But as things have stabilized and recovered, we really haven't seen any material amount of shut-in production, a little bit of gas in the South region, similar to what we saw last year, in fact, which is probably more seasonal than anything else. But otherwise we really haven't seen any material shut-in production to this point. We're simply being a bit cautious with the tremendous uncertainty that we've seen over the last few weeks.
Robert Kwan: So call it the 7% sequential decline from Q4, given – obviously we haven't seen any of this data given the lag, but as we start to see it and we'll probably see that decelerate. Is that fair for Q2?
David Smith: Yes, I think that's fair. And I think a significant part of that 7% was the outage at Wapiti.
Robert Kwan: Okay. Just turning to marketing, what would need to happen or unfold versus your expectations to take you out of the guidance range, whether that's the low end or the high end?
Steven Kroeker: Steven here, I'll take a stab at that one. Again, we tried to provide guidance on marketing just to make it a bit easier for people, there's just a host of variables that go into it. Some of the variables that are – have a larger impact would be, the iso-octane premiums. And so that would include the RBOB over WTI premium, which you can see on the market. And again, we hedge a lot of that in the near-term, so we've been very fortunate that way.  And as well as the iso-octane premium above RBOB and so those two elements are key elements to continue to monitor. Butane as a feedstock, again, we believe it will still be – we still believe the market prices today are still, versus long-term are still attractive. Definitely not the low market prices we saw last year, but still reasonable. So again, if you had a big shift in that, that would be an item there. And then I think as Dean was pointing to before, to the extent you had a continued lockdown and nobody driving then that would have an effect on gasoline demand, which then impacts those premiums that we saw earlier. You have to remember that marketing is that we benefit from diversification across four or five different products and liquids blending. And so we have a variety of ways to make our guidance and but again you need those different commodities to all be working well.
Dean Setoguchi: Yes. I mean, Robert, it's a different question in this type of environment because you've seen massive swings and a lot of volatility obviously in commodity prices. And so it's sometimes tough to say, well, what could happen and that could affect your marketing book. I mean, one extreme case would be there's massive shut-ins and 25% of the NGL volumes disappear overnight. We think that's highly unlikely, but I guess, it's theoretically possible. I mentioned that RBOB prices were trading negative. Well, something happened where RBOB prices trade negative for an extended period that would hurt. We don't believe that's going to happen and we believe that the front month strength that we're seeing is going to continue in the back end, which again, that's the trend we've been seeing for the last several weeks. So we believe we're very comfortable with the range that we have based on the hedges we have in place and everything that we see. And but again, there's still some uncertainties.
Robert Kwan: Got it. That’s a good color. If I can just finish on hedging and you talked about some of the vol. But at first, were there any realized marks in the first quarter that really related to future periods? So anything that was rolling in the inventory or even just closing positions enrolling them? And then the second being, it looks like from the disclosures that the book is net short TI. I guess is that the case and was there anything that you've been able to do when we've seen some of the craziness in the contract roles?
Steven Kroeker: I'll try and interpret. I think what you were asking in that first question there. So on the hedging side there, again, we saw there was a modest impairment of inventory that was more than offset by the hedging side. And again, not a bad match but more than offset and so it did its job there. And so then that does that lower inventory costs does set up for margin on a go-forward basis on the physical side as well. So it's again, the hedging did what we wanted to do. And remind me again what your second question was.
Robert Kwan: Looks like in the hedge book that you're running…
Steven Kroeker: Yes. And so again, we try and protect the margin and the inventory. And so a lot of times butane – well, most of the time, butane and condensate trade on a WTI basis. And so we use WTI as the hedging tool because most of the time, it is actually priced off of WTI. And secondly, on the margin side of the business for the iso-octane business, you're trying to – we're trying to make sure we hedge that complete margin right from butane feedstock all the way up to as far as we can go on the iso-octane sale, which is RBOB and so in between is a WTI component. And so that's why we're selling WTI as well.
Robert Kwan: Great, but just given some of the volatility, is that something you can actually take advantage of like when we see – we saw TI negatives, is that an opportunity for you?
Steven Kroeker: Well, we are fortunate that we see lots of – not lots of, we have a skill set internally that does find opportunities in these kinds of environments where we do have volatility. And so we expect as we go forward, we'll continue to see pockets of opportunities.
David Smith: I'm not sure where you're getting into with your question, but I guess, what I would point out is that we're not traders. We're generally sellers. Most – we'll always be short when it comes to the hedge book because we're generally sellers of WTI and sellers of the RBOB spread and sellers of the NGL commodities to protect our inventory. And certainly, there's always somebody that says, should we take this position off when you've got a big unrealized gain. But that's not the approach we take. The hedges are in place to protect the value of our future production and our inventory.
Robert Kwan: Thank you.
Operator: Your next question will come from Praneeth Satish from Wells Fargo. Your line is open.
Praneeth Satish: Hi, thank you. Just one question for me. I was just wondering if you could comment a bit on your contracting on your crude storage assets and whether there is any available capacity there to take advantage of contango in the market.
Dean Setoguchi: Our baseline terminal is fully contracted. Contracts ranging up to 10 years in length, I guess, some of those would be two years off of that, so eight years I guess now. And then our Wildhorse terminal, out of the 4.5 million barrels of storage 3.5 million barrels of that is contracted to third parties.
Praneeth Satish: But it's not operational.
Steven Kroeker: It's not operational yet, no.
Praneeth Satish: Yes.
Steven Kroeker: Until later this year.
David Smith: Where we have seen an opportunity is on the condensate side. So we – Keyera operates the largest volume of – the largest capacity volume of condensate storage with our underground caverns at Fort Saskatchewan. And we have seen opportunities to contract more of that capacity in the recent – with the recent volatility that we've seen.
Praneeth Satish: Got it. Thank you. 
Operator: Your next question will come from Andrew Kuske from Credit Suisse.
Andrew Kuske: Thank you. Good morning. Needless to say, it was extremely volatile for the year to Dave in a number of commodity markets. And in that kind of context, how did your risk management hold up, in particular in the Marketing? Like clearly, the results are impressive. But did all your risk management systems behave as you anticipated them behave or were there tweaks during the quarter?
Steven Kroeker : No, I would say that it behaved the way we wanted it to behave. We were quite happy with how our hedging worked both on inventory objectives, as well as margin in the near term.
David Smith: And then Andrew I would – sure Andrew Android I would add as Steven mentioned earlier it's times like these where the efficacy of our hedging program has really demonstrated. We've had tremendous volatility, but this is what our risk management practices intended to protect against. And I think when you see the realized and unrealized gains that we've seen, it's a reflection of the fact that our – that the system works. As you know, and as we said many times we have a risk management committee that meets weekly, that includes several of the people around this table. And we pay close attention to it and we try and be disciplined. And I think the results of that were born out in our Q1 results.
Andrew Kuske: So then on a go forward basis for the remainder of the year, does anything change from a risk management basis just when we look at your marketing margins, you're basically halfway to the top end of your guidance really just after one quarter of results. So do you lay off risk or does the guidance not changed just because the outlook you have on the environment is just more cautious?
David Smith: I think it's more of the latter. I think what we've been trying to convey here is a certain degree of caution and prudence. But with the hedges that we have in place and with the fundamentals that we see in the business now, I would suggest that we're pretty confident, certainly in the lower end of the range. And I think as things unfold we could very easily be capturing opportunities over the next three quarters that would take us to the higher end of the range or beyond. I think, our history would demonstrate that our team – it's sometimes difficult to predict, but when we're in uncertain times, our team is really good at finding opportunities to add margin through acquiring, whether it's condensate or propane or butane or iso-octane, taking advantage of the facilities that we have and the relationships that we have to add margin to the portfolio. So I think with respect to marketing and with respect to the gathering and processing comments that you've heard this morning we're being cautious, I think, because there's still a lot of question marks about how we get through this – the current crisis. But at the same time, I think, as we sit here today, the fundamentals are stabilizing. And I think we're cautiously optimistic.
Andrew Kuske: That's helpful. And one final one from me. Just on the context on storage, how much product storage do you have really for your own purposes beyond operational requirements on a day-to-day basis in caverns, tanks and really railcars?
Dean Setoguchi: We really don't disclose that. I would say the majority of our storage is contracted out to third parties. But we do have some that we use for internal purposes, but again we don't disclose that.
Andrew Kuske: Okay. Thank you.
Operator: Your next question will come from Chris Tillett of Barclays, your line is open.
Chris Tillett: Hi, good morning. Most of the questions have been asked already, but just one follow-up here on Wapiti Phase 2 actually, if you don't mind. Some of the comments in the MD&A mentioned that you are going to go ahead and commission Phase 2 at the end of this year, sort of as originally planned but you now don't expect to need the capacity necessarily. So I guess just curious strategically kind of what's behind that decision, are you just contractually obligated to commission that facility by the end of this year? Is there more to it than that? And then second, when do you think you might actually need that capacity? 
Dean Setoguchi: So I think the good is at Wapiti we're basically mechanically complete. And we mechanically completed that facility on schedule. And it's ready to go. With the outbreak of pandemic, we chose to move everybody off site. There was no immediate demand for that capacity. So we chose to protect the integrity of the operation out there and move any non-required people off site, which included all the commissioning staff that went with that. If we look over the rest of this year, we don't see a demand for that facility. But certainly from a reliability and redundancy perspective, there is value to having trained to available for use. And that's really the motivation to get it back up and running, or get it commissioned in the back half of this year. And then we are able to respond to any market scenarios that might be available to provide additional services to customers in the area beyond what our current contractual obligations are.
Chris Tillett: Okay. That's very helpful then. That it from me. Thank you very much.
Operator: [Operator Instructions] Your next question comes from Ben Pham from BMO. Your line is open.
Ben Pham: Okay, thanks. Good morning. I wanted to go back to some of the commentary on your outlook and volumes and whatnot. And I'm wondering what the public disclosures on the Canadian [indiscernible] (0:57:12) shut-ins. Are you guys able to do a detailed or have you been able to do a detailed bottom up analysis to stress test your cash flows and be able to figure out impact on your condensate volumes, and task processing volumes? And then with that range in production you can figure out the range of outcomes for this year. Is that pretty visible to you guys as you do that? Or is that as clear as mud right now?
David Smith: Yes, we have done that exercise Ben, where we've modeled in different scenarios. I mean, we do have the benefit of a lot of public data plus what moves on our system. We see the nominations every month what comes in and out of it. So we have pretty good data. But again there are some uncertainties and part of that is where the oil sands supply is sold. And most of that's midcontinent. And we sort of see that as an advantage today. The midcontinent refiners there have complex refineries and they can make more gasoline. And that's the highest value product right now. Distillates are weak and so it's just – so again, we see as the lockdowns ease, we certainly see demand ticking up for – continued demand and for gasoline. And again, that's going to draw more supply from Canada. But we've modeled out three different scenarios and just to see what it looks like in our business.
Ben Pham: Okay. That's great to hear. And can you remind me, when you decided to turn off your DRIP with the KAPS deferral, are you self-funded then regardless of bringing CapEx up next year? Or is – or do you have to bring back the DRIP program as you ramp up KAPS?
Steven Kroeker: Yes, Steven here. The primary reason for turning off the drip is obviously the share price level and just the amount of dilution it was causing in that respect there. And as well, the deferral of KAPS gave us some flexibility as well on financing. I think, again, because of the situation around us, I think our view is that as we get to next spring and hopefully move forward with KAPS, we'll just evaluate our balance sheet, and our operating cash flows, and the outlook and make the prudent choice then as to how to fund that that project. 
Operator: At this time I will turn the call over to the presenters. 
Lavonne Zdunich: Great. Thank you everyone for joining in on our Q1 conference call. That completes it. As David said, please continue to stay healthy and positive during this interesting time. Thank you.
Operator: This concludes today's conference call. You may now disconnect.